Operator: Good day, and thank you for standing by. Welcome to the Second Quarter 2025 FICO Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to your speaker today, Dave Singleton, please go ahead.
Dave Singleton: Good afternoon, and thank you for attending FICO's second quarter earnings call. I'm Dave Singleton, Vice President of Investor Relations, and I'm joined today by our CEO, Will Lansing; and our CFO, Steve Weber. Today, we issued a press release that describes financial results compared to the prior year. On this call, management will also discuss results in comparison with the prior quarter to facilitate an understanding of the run rate of the business. Certain statements made in this presentation are forward looking under the Private Securities Litigation Reform Act of 1995. Those statements involve many risks and uncertainties that could cause actual results to differ materially. Information concerning these risks and uncertainties is contained in the Company's filings with the SEC, particularly in the risks, forward and forward-looking statements portions of such filings. Copies are available from the SEC, from the FICO website or from our Investor Relations team. This call will also include statements regarding certain non-GAAP financial measures. Please refer to the Company's earnings release and Regulation G schedule issued today for a reconciliation of each of these non-GAAP financial measures to the most comparable GAAP measure. The earnings release and Regulation G schedule are available on the Investor Relations page on the Company's website at fico.com or on the SEC's website at sec.gov. A replay of this webcast will also be available through April 29, 2026. I will now turn the call over to our CEO, Will Lansing.
Will Lansing: Thanks, Dave. Thank you, everyone, for joining us for our second quarter earnings call. In the Investor Relations section of our website, we've posted some financial highlights slides. We'll be referring to them during this earnings announcement. We had another strong quarter, and we are reiterating our fiscal '25 guidance. As shown on Page 2 of the second quarter financial highlights, we reported quarter two revenues of $499 million, up 15% over last year. We reported $163 million in GAAP net income in the quarter up 25%. We reported GAAP earnings of $6.59 per share, up 28% from the prior year. We reported $193 million in non-GAAP net income in the quarter, up 25% and non-GAAP earnings of $7.81 per share, up 27% from the prior year. As you can see on Page 10, we delivered free cash flow of $65 million in our second quarter. Over the last four quarters, we delivered $677 million of free cash flow, which would be an increase of 45% over the trailing 12-month period ending March 31, 2024. We continue to return capital to our shareholders through buybacks by repurchasing 112,000 shares in quarter two. In our Scores segment, you can see on Page 6 of the presentation, our second quarter revenues were $297 million, up 25% versus the prior year. On the B2B side, quarter two revenues were up 31% versus the prior year, primarily driven by mortgage originations revenues. On the B2C side, quarter two revenues were up 6% versus the prior year, primarily driven by revenue from indirect channel partners. Second quarter mortgage origination revenues were up 48% versus the prior year. Mortgage origination revenue accounted for 54% of B2B revenue and 44% of total Scores revenue. Auto origination revenues were up 16%, while credit card, personal loan and other originations revenues were flat versus the prior year. FICO continues to build financial inclusion globally. In the quarter, we announced a Kenya specific FICO score. Through our partnership with TransUnion, the FICO Score is part of a credit risk solution, which empowers lenders to serve previously underserved consumers in small, micro and medium-sized enterprises. We also continue to raise awareness of financial literacy. One way we do it is by encouraging consumers to manage their financial health by checking their free FICO score at myfico.com/free. Over the last year, FICO has seen nearly 70% increase in users accessing their free FICO scores by FICO. I hope you'll tell all of your friends to get their free FICO score at myfico. Most importantly, we continue to focus on innovation. FICO Score mortgage simulator is now available for lender used through Exactus, the largest credit reseller in the mortgage industry. Mortgage professionals can leverage valuable insight from the simulator to help drive smarter decisions that can present more loan options and favorable interest rates for customers. We continue to drive strong adoption of FICO Score 10 T for non-GSE loans and we're seeing strong results from our early adopter program. Lenders who use the classic FICO Score today can receive FICO Score 10 T for free through this program so they can evaluate the advantages before fully moving to utilizing FICO's newest and most predictive score. Lenders in the program have been able to validate the power FICO Score 10 T in real-world mortgage underwriting, loan production, execution and servicing. Refer to the February 24 post in our FICO newsroom to see a list of recent additions to our growing list of FICO 10 T adopters. As of today, we have clients with over $284 billion in annualized mortgage originations and about $1.43 trillion in eligible mortgage portfolio servicing that have signed up for FICO Score 10 T. In our Software segment, we delivered $202 million in quarter two revenue, up 2% from the prior year. The revenue increase was driven mainly by growth in license revenue recognized at a point in time, partially offset by a decline in professional services. We continue to drive growth in ARR and NRR through our land and expand strategy with expand driven by increased customer usage. As shown on Page 7, the total ARR was up 3% with platform ARR growing 17% and non-platform ARR declining 3%. Total NRR for the quarter shown on Page 8, was 102% with platform NRR at 110% and non-platform at 96%. ACV bookings for the quarter were $21.8 million compared to $16.8 million in the prior year. In our software business, we continue to expand our partner channels. FICO recently partnered with Fujitsu, a top digital servicing company in Japan. Together, we will accelerate digital transformation support for Japanese financial institutions, delivering a future of smarter, more connected banking and payments. This quarter, we announced a partnership with dacadoo to bring AI-powered precision to the life insurance industry. Dacadoo is a Swiss-based technology company that develops solutions for digital health engagement and health risk quantification. By integrating FICO platform with dacadoo's Health Risk Quantification Risk Engine, we create a solution that enables insurers to target their life insurance products specific profiles. This allows dacadoo to design highly personalized insurance products for their customers using advanced decision science. Later in the call, I'll talk about our upcoming FICO World Conference, but first, let me pass it to Steve to provide further financial details.
Steve Weber: Thanks, and good afternoon, everyone. As Will mentioned, we had another good quarter with total revenue of $499 million, an increase of 15% over the prior year. Scores segment revenues for the quarter were $297 million, up 25% from the prior year. B2B revenues were up 31%, driven primarily by mortgage originations revenues. Our B2C revenues were up 6% versus the prior year due to increased revenue from our indirect channel partners. Software segment revenues for the quarter were $202 million, up 2% from the prior year. On-premises and SaaS software revenue grew 4% year-over-year, while professional services declined 9%. We do expect Q3 professional services revenue to increase from the Q2 level. This quarter, 86% of total company revenues were derived from our Americas region, which is a combination of our North American and Latin America regions. Our EMEA region generated 9% of revenues and the Asia Pacific region delivered 5%. Our total software ARR was $715 million, a 3% increase over the prior year. Platform ARR was $235 million, representing 33% of our total Q2 '25 ARR, up from 29% of total Q2 '24 ARR. Platform ARR grew 17% versus the prior year, while non-platform declined 3% to $480 million this quarter. We did see some CCS usage headwinds, both platform and non-platform as some customers chose to either delay or downsize some of their customer outreach programs due to macro volatility. Our platform land-and-expand strategy continues to be successful. Our dollar-based net retention rate in the quarter was 102%, platform NRR was 110% and while our non-platform NRR was 96%. Platform NRR was driven by a combination of new use cases and increased usage of existing use cases. Our software ACV bookings for the quarter were $21.8 million compared to $16.8 million in the prior year. We have a healthy pipeline for the back half of this fiscal year. Turning now to expenses for the quarter, as shown on Page 5 of the financial highlight presentation. Total operating expenses were $253 million this quarter versus $260 million in the prior quarter, a decrease of 3%. We expect expenses to be moderately higher in the back half of the year due mainly to our FICO World event and other marketing activities. Our non-GAAP operating margin, as shown in our Reg G schedule, was 58% for the quarter compared with 53% in the same quarter last year. And this means we delivered non-GAAP operating margin expansion of 450 basis points year-over-year. GAAP net income this quarter was $163 million, up 25% from the prior year's quarter. Our non-GAAP net income was $193 million for the quarter, up 25% from the prior year's quarter. GAAP earnings per share this quarter were $6.59, up 28% from the prior year, and our non-GAAP earnings per share were $7.81, up 27% from the prior year. The effective tax rate for the quarter was 23.7%, and the operating tax rate was 24.9%. For the full year, we believe our net effective tax rate will be around 22% and our recurring tax rate will be around 26%. Free cash flow for the quarter was $65 million, a 6% increase from the prior year. Free cash flow was $677 million over the last four quarters, an increase of 45% over the trailing 12-month period ended March 31, 2024. Our accounts receivable balance was up this quarter due to the timing of some large payments that were not received until early April. We anticipate our free cash flow will accelerate in the second half of this fiscal year. At the end of the quarter, we had $192 million in cash and marketable investments. Our total debt at quarter end was $2.53 billion with a weighted average interest rate of 5%. Currently, 51% of our total debt is fixed rate. Our floating rate debt is prepayable at any time giving us the flexibility to use free cash flow to reduce outstanding floating rate debt balances in future periods. Turning to return of capital. We bought back 112,000 shares in the second quarter at an average price of $1,849 per share. We continue to view share repurchases as an attractive use of cash. And with that, I'll turn it back to Will for closing comments.
Will Lansing: Thanks, Steve. The macroeconomic environment remains fluid, but our strategy and execution remained consistent. We are well positioned for this fiscal year and remain confident in the fiscal year guidance that we've provided. Our continued innovations drive significant value to our customers. This quarter, we announced several examples. IA Financial Group leverages FICO platform for expanding insurance underwriting. Nationwide's adoption has led to increased speed and credit decisioning and rollout of new strategies. Lloyds Bank has increased credit card approvals and new-to-bank consumer loan approvals. Next week, we're hosting FICO World in Hollywood, Florida, where many of our customers will highlight their own success stories from adopting FICO offerings. Four-day event brings together customers and prospective customers and around the globe to discuss the benefits of making real-time decisions at scale through the power of FICO platform. Customers will explain the benefits of optimizing interactions with consumers using FICO platform. Those customers are realizing improved profits, increased customer acquisition and retention, reduced costs, growth in new product offerings and improved employee efficiency. The event will showcase FICO platform demonstrations and have exciting announcements related to bringing innovation to the market. Some of the content from FICO World will be available in the coming weeks on our YouTube channel. I'd encourage all of you to view the demonstrations and presentations to better understand our customers' excitement around this innovative technology. With that, I'll turn it back to Dave to open up questions.
Dave Singleton: Thanks, Will. This concludes our prepared remarks, and we're now ready to take questions. Operator, please open the line.
Operator: [Operator Instructions] Our first question comes from Manav Patnaik with Barclays. Your line is open.
Manav Patnaik: Will, typically, this is your kind of beat and raise type quarter. So, I just wanted some perspective on how you thought results came in versus your expectations? And it sounds like everyone else is just holding the guide given the potential uncertainty. Is that what you're thinking along those lines as well?
Will Lansing: Yes, I think that's exactly it. I think we're in an environment with a little more uncertainty than expected. And as usual, we remain conservative though. There's ample time to raise guidance when we're more confident about it, and we're comfortable with where we are.
Manav Patnaik: And then somewhat of a follow-up, I guess, on the software side, I mean, you guys were pretty confident in the reacceleration of software. So, I was just hoping you could give us some context on platform. And then even non-platform was down this quarter. So just curious what's happening there.
Will Lansing: Yes. I think I'd put that in the same category of macroeconomic factor. What we see on the non-platform side is a little lower, I should say, not lower usage, but lower growth in usage of CCS. And I think that reflects our customers' conservatism around the macro environment. And I remain confident that our growth rate on the platform side will be strong, will continue to be strong. We'll strengthen from where it is today. As you know, we don't work quarter-to-quarter, deal slip. We're okay with that. We -- our customers and our salespeople know that we don't go to extraordinary lengths to try to close deals by quarter end. And so, I think there's all those factors at play. But I think the business is still quite healthy, and we feel good about it.
Operator: One moment for our next question. Our next question comes from George Tong with Goldman Sachs. Your line is open.
George Tong: I wanted to see if you can talk a little bit about whether you've seen any changes in credit origination volumes through April, given all the macro uncertainty out there? And if current trends persist, if you can point to where in your guidance range, you would expect to land?
Will Lansing: We haven't seen a lot of change there. But remember, we're a lagging indicator.
Steve Weber: And in terms of the guidance, I mean, we're comfortable with where we are in the guidance. I mean one of the reasons we probably didn't change our guidance this quarter is that there's a lot of uncertainty, right, this can go a lot of different directions. We're confident in our guidance number, but it's difficult to know with as much volatility as there is even what we would change it to, if we were to change it. So, we're sticking with what we have.
George Tong: Okay. Got it. That's helpful. And then following up on the platform software business, ARR growth decelerated, you mentioned that was due to macro factors. Can you talk about how much visibility you have into reacceleration in platform growth? And will it take macro conditions improving to drive the growth to be accelerate? Or do you have internal idiosyncratic drivers that can get that growth higher?
Will Lansing: We have some level of visibility because we obviously booked the deals ahead of when the revenue is recognized. So, I would say, we do have some visibility, and that's part of my optimism about the business. But I think it is tempered by the macro environment. And so sometimes that means deals take longer to close. We haven't experienced this yet, but you never know, deals might not happen because of the macro environment. So we have the conservatism that goes with that. But in terms of visibility, our visibility says our business is healthy and should reaccelerate.
Operator: [Operator Instructions] Our next question comes from Jeff Meuler with Baird. Your line is open.
Stephen Pollock: Stephen Pollock on for Jeff. Just on that point, are you seeing any changes in the customer approach towards the platform sales cycles, things -- are you seeing longer cycles, longer decision times? Any changes in sort of the contract terms or anything around that?
Will Lansing: Not so far. So, I would say that -- we've talked about this in the past. The platform is increasingly a strategic purchase by our customers. And it's part of a bigger strategic plan to be more consumer-focused and to optimize all kinds of interaction with the consumer. So, I wouldn't say we're immune from macro conditions, but I do think that we're such a critical part of the strategy for our customers that it's not really going to the back burner or it's not getting canceled just because conditions are not perfect. That said, that's today and who knows how that affects us in the future. But today, we're not seeing it. The deal cycles have not really slowed. No.
Stephen Pollock: Okay. And then on sort of insurance partners -- or customers that you've announced. If you could just talk with the go to market for some of the nonfinancial services customers, is that direct? Is that through partners, kind of maybe what's driving maybe some of the traction in some of the non-financial services segments.
Will Lansing: It's both. It's both. But as you know, we have been putting increasing emphasis on our indirect channel. And so, there is more activity there, and we are getting more deals outside of our direct sales force.
Operator: One moment for our next question. Next question comes from Simon Clinch with Redburn Atlantic. Your line is open.
Simon Clinch: I was wondering if we could just go back to your comments that nothing's really changed in terms of client behavior or volumes through April. But I was wondering if you could perhaps break it down. Was that an overall comment around sort of the aggregate level of volumes? Or is there any sort of detail at the sort of vertical level, which you can share with us?
Steve Weber: You're talking about the Scores business?
Simon Clinch: Sorry, in Scores.
Steve Weber: So, I mean, honestly, we don't have real-time data, frankly. I mean you'd be better off getting information from the bureaus on that. They can track it on a day-to-day basis. As Will said, we get our reporting in arrears. So, we have some anecdotal information, but we don't have the heck of real data today with us.
Simon Clinch: Okay. Understood. And then just a secondary going back to the software business. And I mean the booking strength was notable this quarter. That's sort of maintained as why everything was going on. I just wonder if you could give us some a little context around pipeline build and that's sort of touching on the demand side as opposed to just the deal slipping.
Will Lansing: The demand side is strong. The pipeline is strong. The current bookings, as you can see, are strong. So, it's all in a good direction.
Steve Weber: Yes. I mean, again, where we saw the headwinds were on CCS, and it's just about how a lot of our existing customers are reaching out to their consumers. And if there are accounts growth slows down, and you're going to see a slowdown in CCS volume. So, a lot of this is -- it has nothing to do with the products necessarily. It's just about how they interact with their consumers.
Operator: One moment for our next question. Our next question comes from Jason Haas with Wells Fargo. Your line is open.
Jason Haas: I'm curious if you could give us any sense for what sort of price increase you took in auto. Just so we can get a sense for maybe in the quarter, how much was volume versus price driven since there's an acceleration there?
Will Lansing: We don't comment on price increases until we make them.
Steve Weber: You talked about ones that are already made. The ones that we have this quarter.
Jason Haas: Yes.
Steve Weber: So, there's definitely an impact from the pricing what we've done so far...
Jason Haas: I see. Yes.
Will Lansing: Of course, yes. I mean as the price increase feathers in, as it becomes recognized over the course of the year, price becomes a bigger component, change in price becomes a bigger component of our revenue increase. And so yes, that is happening as we speak.
Steve Weber: But we don't specifically call out the percentage of price increase versus volume increase.
Jason Haas: Got it. Okay. That's fair. And then as a follow-up, it looks like the growth in person outlet expense has maybe moderated a little bit. I wasn't sure if that was just timing where you're finding some efficiencies there?
Steve Weber: Yes, that doesn't even have anything to do with head count. In essence, there was -- some of it's around fringe, some of it's around -- some of are truing up our supplemental retirement plan. So it has nothing to do with headcount per se. It has more to do with some of the fringe costs around that. So, we got a benefit this quarter that we probably won't have next quarter of a few million dollars.
Operator: One moment for our next question. Next question comes from Faiza Alwy with Deutsche Bank. Your line is open.
Faiza Alwy: I wanted to ask about the Scores business. It looks like there was a pretty substantial increase in the non-origination of B2B Scores revenue. And I'm curious if there was something specific that you can point to there?
Steve Weber: There's just a lot of -- I mean nothing really anything in particular. There's a lot of things that were kind of -- some of it's in some license sales and some in the international markets. Some of it is a little bit more of a prescreen. There's just a lot of things -- nothing specific to call up, but there's just a lot of things that kind of added to the non-originations this quarter.
Faiza Alwy: Okay. Understood. And then Will, I wanted you about...
Steve Weber: We do have some of those -- We do have a lot of -- quarter-to-quarter, we do have some fluctuation in that number. So, there will always be some quarters there are a little bit higher than others.
Faiza Alwy: Okay. Okay. Will, I wanted to ask you about just the regulatory environment, there's obviously been a lot of shifts postelection, and you've had some of these new regulators settled into their new roles. So curious how you're thinking about the evolving situation, if you've had any conversations? And anything you can share in terms of your perspective there?
Will Lansing: Well, we're always in conversations with the appropriate regulators and agencies and nothing has really changed. We continue to be in touch with them and talk about our industry and how we ought to go forward with it. I would say that the regulatory environment is a good one for FICO. We're pleased with where we are. It's all basically good news for us.
Operator: One moment for our next question. Our next question comes from Surinder Thind with Jefferies. Your line is open.
Surinder Thind: Well, maybe could you possibly comment on just kind of the DBNRR number? Obviously, it's slowed down a little bit. But is there a way to disaggregate the client behavior there in the sense that is it clients have stopped or slowed down kind of the implementation of use cases in the current environment? Or is it more a case of they're just running existing use cases maybe less frequently?
Will Lansing: Yes. I would say usage itself. We're not losing customers. And they're not postponing what they do, but things that are usage-based we're seeing less usage. And I really think that's ebbing or flow thing, it has to do with the environment.
Steve Weber: And Surinder, in most cases, it's not like they're really declining. In a lot of cases, it's just not growing as fast as they were in the past.
Surinder Thind: Yes. I stand corrected there. It's just the growth rate has slowed down, and it was this idea of whether clients are just slower to maybe adopt new use cases as you move from one division to the next to next as well, right, versus....
Will Lansing: I don't know it's so much that. I think it's more of the usage itself. I really think it's an environmental factor.
Surinder Thind: Got it. And then maybe a question for you, Steve. Just on the expenses, the SG&A numbers, how do we think about the run rate excluding the expenses that are associated with the FICO World Conference.
Steve Weber: Yes. So, we will have higher expenses in the back half of the year. We do -- obviously, at FICO world, we have -- so marketing expense is primarily on the Score side that we've got in the back half of the year that will add some more expense to it. We're adding headcount as well, but it's not all that dramatic. As we've said, obviously, for several quarters, we are having a headcount where we can bring in good people, but it doesn't -- it's not all that material. So, from that point of view, you're not going to see a lot of increase in expenses.
Surinder Thind: Got it. So, excluding FICO World, not a material increase, in expenses in the back half?
Steve Weber: I'm sorry, say that again.
Surinder Thind: So, excluding FICO World, not a material increase, in expenses because that's a big onetime line item, right?
Steve Weber: Yes. I mean there's other expenses that we'll have some marketing expenses, too. So, I mean if you look at what's implied in the guide, there is additional expenses that will be in the back half of the year. But obviously, FICO World is a big part of that.
Operator: One moment for our next question. Our next question comes from Ashish Sabadra with RBC.
Ashish Sabadra: I just wanted to ask a question on software as well. How do we think about the timing of converting some of that ACV. We've seen pretty strong ACV in the first half of '25, the timing of that converting over to ARR.
Steve Weber: It's probably nine months -- six to nine months before the conversion takes place. It depends on the individual customer. Some customers, if they're a little more sophisticated, they are easier to implement, it could be a little bit quicker than that. But usually, it's in that six- to nine-month range.
Dave Singleton: And then, Ashish, it does take three months to kind of ramp that up, so you -- I kind of think of it more like 9 to 12 when it's fully ramped, but he's right, six to nine when it kind of kicks off.
Ashish Sabadra: That's very helpful color. And maybe just a quick clarification on the auto origination revenues. There was a comment there during the Q&A about pricing getting feathered in. So, if our understanding is right, there was only a partial benefit of pricing in the quarter, and we should continue to see that incremental benefit as we go forward? Is that a right assumption?
Steve Weber: Yes. I mean, well, auto is the same as everything else. So, we repriced it effective January 1. Sometimes it doesn't all roll in right away on January 1. So sometimes, it takes a little bit of time for the full benefit of that to hit. But the auto pricing is the same way as mortgage and auto -- mortgage and credit card as well.
Operator: One moment for our next question. Our next question comes from Kyle Peterson with Needham. Your line is open.
Kyle Peterson: Let us start on the buyback and capital allocation. Historically, you guys have been fairly steady and formulaic as to how much you guys have returned to shareholders. Obviously, we seem to be in a more volatile equity market environment. How are you guys kind of thinking about balancing, returning cash to shareholders versus potentially being like opportunistic and maybe stepping up a little bit more if we do get some short-term blips? Any color there on how you guys are thinking about that would be really helpful.
Will Lansing: Our philosophy there has not really changed. We've said in the past and it continues to be true that we're not market timers. We have a big view of the future value of our company, the value today and the future value. And so, we're really committed to the stock buyback. And we don't spend a ton of time thinking about is this a great time to back up the truck versus should we stay out of the market because it feels pricey. We pretty much by consistently and we're pretty happy with that. That said, there have been times in our history, as you know, where we felt like the market was punishing us with a bad understanding of our prospects. And so, we -- although we've historically tried to match our free cash flow to our stock purchases, there have been times when we have exceeded that by quite a bit. And for a one- to two-year period, we did just a few years ago. And that's not on the question. I think you'll see us continuing to buy regularly into the future. And as opportunities present themselves, we do sometimes heavy out.
Kyle Peterson: Okay. That's really helpful. And then maybe a follow-up on software. I know several other guys have asked about this, but any color on kind of what you guys are seeing maybe a little more under the hood. Is some of the sales cycle changes and such. Have there been any changes in like whether it's like by geographies or bank size or anything like that over the last, like, call it, few months or something? Or is a lot of the decision-making pretty consistent with what you guys have historically seen and kind of shared on recent calls before this?
Steve Weber: No, I don't think we've seen -- any discernible trends that way. And actually, if you look at, the bookings have been pretty good. So, where we've seen some slowdown is in some of the usage. But we haven't really seen any changes in behavior with -- depending on region or geography or size of bank.
Operator: One moment for our next question. Our next question comes from Josh Dennerlein with BofA Securities. Your line is open.
Josh Dennerlein: Just wanted to touch base on the platform. I know you are continually rolling out new solutions on that side. Could you remind us what you're rolling out solution-wise this year on the platform? And then just maybe provide some context on how -- when you've added solutions in the past just impacted growth?
Steve Weber: Yes, we -- well, so I would say that the largest number of solutions and use cases are related to the credit risk life cycle and things that we've historically done with our legacy applications. So, originations, line management, that sort of thing. I would say that our fraud solutions on the platform are still in process. So, some of the fraud solutions are available on the platform, some new ones are available on the platform that you couldn't get before. And some of the old ones are not available yet. So, I would say that's more of a work in progress in terms of where we are. I would expect that virtually all of our fraud solutions will be available on the platform next year.
Dave Singleton: And Josh, there will be announcements about innovation on FICO platform at FICO World.
Josh Dennerlein: Okay. I appreciate that, Dave. Is there -- do you guys I think...
Will Lansing: I would encourage anyone who's interested to -- if you're not an attending FICO World, check out the FICO World YouTube videos because we'll go into a lot of detail on what's being released.
Josh Dennerlein: You guys typically end up getting like with people who are coming to FICO World, do you see like a sales growth bump from that, does that convert to a lot of sales?
Will Lansing: Yes, absolutely. I would say that it's our number one sales pipeline building effort. What happens is we put a ton of energy into making available all of our top technical personnel so that customers, prospective customers can really get a deep understanding of what we can do for them. We couple that with meeting other customers who have implemented our solutions. And there's a lot of transfer of knowledge and frankly, we don't do a lot of selling. It's really being done by our customers explaining to other customers and potential customers, what they're doing and where they're having success and where they're not. So, it used to be just a show and tell -- and now I would say that most of the customers who come, get a very personalized, customized several days, focused specifically on the needs of their bank, that needs their financial institution and how we best can serve them. And typically, with references and introductions to other customers who've already done what they'd like to do. So, it winds up being a huge channel pipeline building activity.
Operator: One moment for our next question. Our next question comes from Scott Wurtzel with Wolfe Research. Your line is open.
Scott Wurtzel: Just one for me, the color on some of the channel partners that you're working with in the software business is helpful. Just wondering how you feel overall about the partner network in the software business and how that's running right now.
Will Lansing: We continue to believe it's a big opportunity for us. We don't have as much indirect sales as we would like, and we continue to invest in the indirect channel with a view to increasing it. We've talked about this in the past. We have a really dynamic direct sales force. That said, it's quite small. If you compare our IP with our distribution strength in direct sales, it's fairly obvious that those are mismatched. And although we're taking a lot of initiative around that, we're adding salespeople. We're growing our direct sales. We recognize that the real opportunity is to expand the indirect sales. And so, we have. We've been investing in it. We have a lot of people working on it right now and for different kinds of things. We have geographic reach that's occurring. We have diversification into nonfinancial services verticals. We have work going with SIs. And interestingly, the work with the SIs is not just the transfer of our professional services work to them. But they're actually taking our IP and building proprietary solutions for themselves that they use with their customers. And so, I think it's really nice. It's a partnership where we get the professional services extra capacity, if you want to call it that, coupled with them as a channel, a true channel for moving our IP to market.
Operator: One moment for our next question. Our next question comes from Kevin McVeigh with UBS. Your line is open.
Kevin McVeigh: Great. Would you expect some of the lower kind of usage in CCS to kind of capture that in the back half of this year? Or is that something that you think potentially gets pushed out to '26?
Will Lansing: Wow. Your guess is as good as ours. It's just so hard to say. Our business is built around doing some amount of kind of base level revenue for getting something underway and then built on usage. And we can't really control the usage except to the extent that we teach our customers how to get more value by expanding the usage. But kind of the economic activity level of the usage is something we can't really control. And I don't really have visibility there. I don't know which way it goes.
Kevin McVeigh: It's helpful. And then with the partner channel on the implementation work, is that explaining some of the recent trends in the professional services? Because it seems like the bookings have really scaled. Or is it just the size of the bookings? Just trying to reconcile the professional services trends against, obviously, what's been pretty good bookings overall.
Steve Weber: Yes. I would say this quarter, some of it was actually timing. We had some milestones that had to be met in order to reclaim the revenue, and it ticked over from March into April. So, there's a little bit of a timing there. You will probably see the -- I think we even referenced this in the prepared remarks, that we expect the PS actually, the revenue to come up a little bit in the back half and even in our third quarter.
Operator: One moment for our next question. Our next question comes from Matthew O'Neill with FT Partners. Your line is open.
Matthew O’Neill: Many good questions asked and answered here. So, I thought I would open -- ask a more open-ended one, just around sort of strategic priorities, but recognize that FICO World is next week. So, whatever you may be willing to preview as far as kind of the focus for the remainder of the year and beyond what would be really interesting.
Will Lansing: Well, I think what you'll see at FICO World is a whole bunch of new capabilities. You'll see a little bit more on the way we're using AI. On the Score side, you'll see some of the innovation that we have coming. We're just gearing up on FICO 11, so you'll get a little taste of that. So those are the kinds of things that we expect to be announcing next week.
Operator: And I'm not showing any further questions at this time. And as such, this does conclude today's presentation. You may now disconnect, and have a wonderful day.
Will Lansing: Thank you.
Dave Singleton: Thank you.